Operator: Hello, everyone, and welcome to Siltronic's conference call on its full year 2020 results. Please note that this call is being recorded and streamed on Siltronic's website. The call will be available as an on-demand version later today. Your participation on this call implies your consent with this. At this time, I would like to turn the conference over to Petra Muller, Head of Investor Relations and Communications at Siltronic AG.
Petra Muller: Thank you, operator, and welcome, everybody, to our full year 2020 results presentation. This call is also being broadcast live over the Internet at siltronic.com. A replay of the call will be available on our website shortly following the conclusion of the call. Joining me on today's call are our CEO, Dr. Christoph von Plotho; and our CFO, Rainer Irle. Following our usual procedure, Chris will start with some general remarks and Rainer will provide some more detail of our Q4 key financials, followed by Chris again updating you on our guidance and current market developments. After the introductions, we will be happy to take your questions. Please note that management's comments during this call will include forward-looking statements, which involve risks and uncertainties. For discussions of risk factors, I encourage you to review the safe harbor statement contained in today's press release and presentation and in our annual report. All documents relating to our full year 2020 reporting are available on our website. And with this, I now hand over to Chris.
Christoph von Plotho: Thank you, Petra. Welcome, everyone, and thank you for joining us for our full Year 2020 results call. I hope all of you and your families are healthy and safe. Before we start commenting on our business, we would like to give you an update on the tender offer by GlobalWafers. GlobalWafers reached an acceptance rate of 70% in Siltronic shares. The German Federal Cartel Office, in German, Bundeskartellamt, as well as [indiscernible] in the U.S. gave their clearance for the business combination. The German Federal Cartel Office saw no indications that competition in the wafer industry could be impeded by this transaction. We are happy that we [indiscernible] the first important hurdles and that the combination of the 2 companies can move further along. Currently, additional clearance of foreign investment approvals and merger controls is underway, and we expect the transaction to close in H2 of this year. At this point in time, we are not able to comment further on the status of digital filings. Now let's have a look at the development in 2020. 2020 was characterized by accelerated digitalization driven by the corona pandemic. This fueled the demand for semiconductor devices in some end markets like servers, tablets, accessories for home office and home schooling. On the other hand, some end markets like automotive and the general industry applications saw a downward trend. Accordingly, there was a very high demand for 300-millimeter epi and in H2, an improving trend for 300-millimeter polished. While 200-millimeter was burdened in Q3, demand improved during Q4. Business in HD was stable at a low base. Price trend was flattish in Q4 and also in Q3. Now let's have a look at our key financials before Rainer leads you through the Q4 development in more detail. Compared to 2019, our sales were down by 5% to €1.2 billion. Overall, ASP in 2020 was down compared to 2019. While the wafer area in 2020 was up, prices went down in Q1 and still a little bit in Q2 while stabilizing in the second half of the year. Additionally, we saw a negative impact on the product mix in H2 due to the weaker automotive business.  The meaningful headwind in H2 was the negative exchange rate due to the strengthening of the euro. This alone led to a €30 million burden in H2 2020 year-over-year. Our EBITDA came in at €332 million. EBIT was down to €192 million. CapEx of €188 million was slightly below the guided €200 million. As the majority of our investments is in Singapore, we saw some exchange rate-related cost savings on our CapEx. Our investments focused mainly on finishing capacity expansion projects as well as capabilities to enable leading edge design rules. Additionally, we invested in EPI reactors to accommodate the growing demand in logic and foundry business. Our net financial assets were €499 million at year-end.  I now hand over to Rainer, who will give you some more details on Q4.
Rainer Irle: Thanks, Chris, and good morning, everybody. Sales in Q4 were weaker quarter-on-quarter, mainly due to some seasonality and further strengthening of the euro. Prices were stable quarter-on-quarter. Overall, sales reached €285 million, down 5% quarter-on-quarter. Cost performance in 2020 was excellent and productivity increased. We achieved savings well above €20 million. Excluding depreciation, cost per wafer area significantly declined in 2020 compared to prior year. In Q4, COGS came down in line with lower wafer area sold by 4% to €212 million, despite higher depreciation. Productivity was very good.  Our gross profit fell to €73 million in Q4. Gross margin came down by 50 basis points quarter-on-quarter to 25.6%. Our admin expenses went up by roughly €12 million, which are related to advisory services in relation to the tender offered by GlobalWafers. We booked the cost but payment will be due after closing. In Q4, we saw a negative effect from currency, however, not as strong as in Q3. The euro strengthened against the U.S. dollar by $0.02 to 1.19. Currency effects added up to minus €1.3 million in Q4 compared to a slightly positive €0.6 million in Q3. The negative result is due to translation effects, particularly in accounts receivable with the strengthening euro. The hedging result was slightly positive. In a year-over-year comparison, we see a positive development of the currency effects. While we recorded expenses of €27 million in 2019, expenses in 2020 only added up to €4 million.  In line with our lower gross profit, EBITDA was down to €67 million in Q4, a 16% decrease versus Q3. This was triggered by negative FX and the expenses related to advisory services with regard to the tender offer. EBITDA margin was 23.6% after 26.8% in Q3. Excluding cost of the tender offer, EBITDA margin would have been 28% in Q4. Depreciation increased €3 million quarter-on-quarter.  EBIT in Q4 came in at €28 million with EBIT margin of 10% compared to 15% in Q3, again, with the effects of the tender offer. In full year 2020, the positive contribution from the increased wafer area sold and the reduced cost per wafer area could not be completely offset the negative burden from pricing and exchange rate. Net profit was €41 million in Q4 versus €39 million in Q3. Earnings per share came in at €1.17 versus €1.08 in Q3. In the full year 2020, net profit was €187 million. Earnings per share was €5.36 compared to €7.52 the prior year.  Tax rate was only 1% in 2020 and even negative in Q4. So what happened? First, in the U.S., we saw significant tax benefits that the Trump administration implemented to reduce the burden of the pandemic. Investments in 2020 were subject to 100% write-off for tax purposes, and we were allowed to carry back resulting tax losses into prior tax years. This resulted in a tax income in the U.S. in 2020. In Germany, the government introduced degressive depreciation, which reduced our taxable income. And finally, we made a onetime contribution to the pension fund to allow it to reduce its discount rate. This onetime payment, though, obviously, only cash outflow under IFRS, is treated as expense under tax rules. This caused our tax result in Germany to be negative in Q4, and tax expense booked in Q1 to Q3 was partly reversed causing a tax income in Q4.  Working capital came down significantly in Q4 to €201 million, mainly driven by a strong increase in trade liabilities due to higher CapEx. Trade receivables were roughly stable. Trade liabilities also include €12 million against advisory fees for the tender offer to be paid after closing. Looking at our balance sheet, equity came down to €872 million at the end of December. Equity ratio was 45.4%. The decrease is based on the profit minus the dividend payment, a strong increase in pension obligations as well as negative currency. The pension provision in Germany was discounted at only 0.69% as of December 2020 versus 1.24% the prior year. In the U.S., interest rate was also down from 2.98% to 2.07%.  Net financial assets came down by €20 million to €499 million, even though we paid €90 million dividend and refunded total €45 million of customer prepayment. As of December 2020, pension provision went up by €75 million versus prior year due to lower interest rates in Germany and the U.S. 0.69% is all-time low discount rate. Currently, yields are trending up given inflation fears in the major economies. If we use 3% to calculate DBO, it would be €850 million only, leading to a pension provision of €139 million, more than €400 million less.  CapEx in Q4 was up to €58 million due to some backloaded CapEx, given some delays of equipment, which had been scheduled to have more in H1. Most of the CapEx related to our capability project, the completion of 3-millimeter capacity expansion and projects to increase our EPI capacities to capture growth opportunities. Due to pension funding, our operating cash flow in Q4 came down to €32 million, following €61 million in Q3. As expected, net cash flow in Q4 was negative at minus €19 million. While we refunded customer prepayments during 2020, we actually received a smaller amount in Q4 for a new LTA site. In full year 2020, the net cash flow was €77 million and thus in line with expectations. Net cash flow was comparable to 2019. In 2019, we had a onetime inflow from insurance settlement of €40 million and higher Capex. In 2020, we had lower Capex, lower EBITDA and higher pension timing.  Okay. And with that, I would like to hand over to Chris.
Christoph von Plotho: Well, thank you, Rainer. Let's have a look into our expectations for the year 2021. We had a good start and see high demand with good to very good loading. Foundry and logic business remains strong, and on the memory side, we see a positive sign, even though we believe that NAND inventories are still somewhat elevated.  Automotive and industrial are continuing their path of recovery. Mid- to long-term growth is driven by increasing units in some end markets like smartphones or cars combined with higher content. We assume some of the demand is still driven by the U.S.-China trade tensions and some inventory buildups to counter possible supply chain interruptions. In Q1, strong foundry and logic business leads to an unchanged high loading in 300-millimeter epi. 300-millimeter polished is doing well. However, going forward, there are still uncertainties due to the U.S.-China trade tensions and the question if that triggers elevated inventories. We see partially a digestion of server components. As automotive and industrial applications are on a recovery path, we are optimistic about the business development for 200-millimeter. That said, there are still uncertainties due to unreliable supply chains and fears relating to the pandemic, which could have unexpected impacts going forward. Our SD business, smaller diameters, is trending up. We expect all end markets to grow in '21. However, expect DC to be more on a low-growth to flattish path. When we look at the devices and take into account the density effect, we believe that NAND and power will grow a bit more than DRAM or logic.  Design rule development is a big topic in the semiconductor industry. Customers' technology road maps are continuously evolving. The capability of our customers to go on the next node and the respective node ramp will determine wafer demand.  To summarize, we believe that we will see good growth in silicon area demand in '21, both from the end market perspective as well as from the devices perspective. We expect silicon area to grow by 7% to 8% this year. However, for Siltronic, we expect a bit higher growth rate. However, external factors, which could have an influence on our business like trade tensions, like corona, like speed of design rule development are impossible to predict. But I can only emphasize on what I said in our Q3 call. Digitalization won't stop. No matter if we take -- if we talk about 5G, hybrid or electrical cars or artificial intelligence, all of that contribute to a demand for advanced technology.  And that leads to our outlook for the year '21. You know that around 2/3 of our sales is in U.S. dollar. For '21, we assume exchange rate, euro to the dollar, of 1.23. Hence, the year-over-year comparison, the strong euro is having a major negative impact on our sales this year. An exchange rate within the range of 1.20 to 1.25 for the euro versus the U.S. dollar in '21 would reduce sales by approximately €50 million to €80 million, including the weaker performance of the Japanese yen. Under the assumption that silicon area will show good growth and prices will stay roughly stable in invoice currency, we expect sales to increase by a mid- to high single-digit percentage figure. Our EBITDA margin should slightly increase. While the increasing wafer area and positive impact from our cost reduction programs will contribute positively on the cost of our sales per wafer area, the strong euro will have a negative impact. Depreciation will go up roughly by €15 million to €20 million. Our EBIT should significantly increase despite the higher depreciation. Our tax rate should be significantly below 10%.  We plan to invest around €250 million, mainly in 300-millimeter epi and capabilities to support leading edge design rules. This includes an expansion of crystal-pulling hall to replace older equipment. Our net cash flows would slightly improve and earnings per share slightly increase.  With this, we close our presentation and are now available for your questions. Operator, please open the Q&A session.
Operator: [Operator Instructions]. We have a first question. It's from Francois Bouvignies.
Francois Bouvignies: I have a couple. And the first one is on the CapEx of €250 million, which is very similar to what you had already in 2018 toward very high levels. So I wanted to understand by how much capacity it will translate to this relatively high CapEx. You mentioned improving capabilities, new equipment and 300-millimeter epi to capture the growth. But just to get an idea of how much capacity given the size of the CapEx would be very helpful.  The second question is on the market of silicon growth that you see in 2021 of 7% to 8%. But for Siltronic, you expect 8% to 12%, so which suggests market share gain if I interpret it correctly. So I was just wondering the driver of this outperformance, why Siltronic is outperforming better that the market.  And the last question is on pricing. So when we spoke in December at the earnings call, I don't remember exactly the reason, but it could be conference call, you mentioned that the prices were more south than north. Now in this release, it seems that the stabilizing and you expect flat CapEx -- flat pricing through the year. I was just wondering what about the quarterly pricing trend. I know that you have high LTAs probably for this year, but do you expect any inflection point on the north side through the year as capacity is more tight. And that's all for me.
Christoph von Plotho: These were more than three questions. So let me start with the CapEx-related question. You're right. The figure when you compare the outlook for the current year to 2018, the figure is similar but the content of the CapEx that we spend is completely different. In '18, there was a big contribution coming from capacity expansion as we increased capacity, mainly in Singapore. In '21, it's completely different. I would even argue there is close to nothing for capacity expansion. If you define capacity expansion, additional wafers, there is some product mix effect. This is because we invest in epi. And epi means you buy epi reactors, you invest in infrastructure, you have measurement tools and all that stuff that you need to do that. And accordingly, the output of polished wafers will go down. Most of that is for capability. I remember that we had years where we did spend €15 million for capability enhancement. With the further developed design rule, this is basically more a figure for a quarterly spending than for yearly spending. So to maintain the capability to deliver leading edge is becoming more and more expensive. This is not only on production tools. This is, to a large extent, also true for measurement equipment. And on top of that, we are talking about that since years. At the very beginning of 300-millimeter, we used the 200-millimeter pullers to grow the crystals. The specifications where you can do that, where the quality is, let's call it, sufficient is decreasing rapidly. And therefore, we continue to invest in specific 300-millimeter pullers in order to fulfill customer requirements. The market growth. Well, our best guess for market growth is 7% to 8%, and we believe that we can outgrow the market based on our performance. That's basically what we believe. Future will tell whether these assumptions are right. And on pricing, I still remember with very positive thoughts, the end of 2016, beginning of 2017. At that time, we were talking about price increases. The market did allow price increases. And we were in the favorable position that basically everything was on the negotiation desk. So apart of one customer, we increased all prices to all customers in 2017. Unfortunately, the situation today is different with a higher share of LTAs or contracts, which are running continuously in '21.  Therefore, I think -- well, not I think, I talked about loading. Loading is good to very good. I do believe that apart of risks, which are coming from trade tensions or might come from trade tensions and from the pandemic, I see even a stronger demand in the second half. And consequently, every negotiation which comes up in the second half of the year is a potential for price increases. But like in 2016, early '17, we can only talk about this fact that there is a possibility of price increases. You only know after the negotiation what the outcome will be. But I think the environment will allow price increases. But as I said in previous calls, I do not expect the major contribution coming from price increases for the year 2021. It's much more negotiations in '21 for, let's say, contracts than in '22, '23.
Operator: We have a next question, it comes from Achal Sultania.
Achal Sultania: Just one follow-up on the last question. I think, Chris, you mentioned that you aim to outgrow the market this year. I think the last 2, 3 years, if I'm not wrong, you've slightly undergrown the market. So again, just trying to understand what's driving that confidence that 2021 will be a different year? So -- yes, that's the main question, yes.
Christoph von Plotho: Well, I think this is much more related to -- very much related to the 200-millimeter business. I think in the face of more price increases were possible, we were maybe a little bit too aggressive on pricing. We adjusted that. And I think we should see the consequences out of the pricing strategy in '21.
Achal Sultania: Right. And then maybe one follow-up on the demand and capacity situation. If I look at 300-millimeter, can you just help us understand where we are with the demand situation in terms of wafers per month? And I think in the past, you mentioned about 7 million, 7.2 million capacity if we include the shell capacity. So just trying to understand where the -- what the gap is today and how quickly that gap can close if you talk about 7%, 8% growth for this year?
Christoph von Plotho: Well, as far as I remember, the figure for Q4 was 6.9 million slices. And I saw a figure like 6.9 million also for the month of January. So it's -- I do not want to say it's stabilizing because stabilizing would mean that there is no growth, but it's around 6.9 million. And with that, very close to the estimated installed capacity of 7 million to 7.2 million. And then what is the right figure for expected growth? People argue it's somewhere between -- in the past over a longer period of time, it's 4% to 6%. And probably more 6-ish for 300-millimeter, but with the market growth that we gave, 7% to 8%, a significant contribution should also come from 300-millimeter. So therefore, I assume best guess is will be short towards year-end.
Achal Sultania: So you said 6.9 million wafers per month right now?
Christoph von Plotho: 6 9 million per month, yes.
Operator: We have a next question by Florian Treisch.
Florian Treisch: I have three questions as well. So the first is on your guidance when it comes to the EBITDA margin. So can you probably quantify what you exactly mean by a slight increase? And is it fair to assume that there are also additional onetime effects from the GlobalWafers acquisition, i.e., how can we end up as a decent or a good proxy for EBITDA margin?  The second is around your comment of flat pricing. So if I understand you correctly in the past, H1 2020, we are coming with higher prices, and we have seen a lower price in H2 2020, i.e., if we assume no changes to pricing, it must be down, i.e., is your guidance implying that we will see rising prices over the course of the year?  And the last one is around you mentioned ADA deal. Can you say your word on the implied pricing? Is it above your current average or below your current average?
Christoph von Plotho: Well, let's start with pricing. When we talk about pricing, typically, we refer in the outlook to ASP invoicing currency to be flattish this year. That's what we said. And basically, this does not foresee quarter-to-quarter maybe -- and not even by diameter. We will see opportunities for price increases. We'll try to use these opportunities, but you only know it after the effect. So on EBITDA, this is up to you to judge. Last year, we ended up at 28% as far as I remember, and we say slightly up, so that's probably not 35%, but it's not 28.1% either. So we do not precisely guide on EBITDA. We guide on the trend, and I think that should be, for the moment, sufficient, and we will see then the first performance after close in Q1.
Florian Treisch: And maybe a comment on the LTA part?
Rainer Irle: There was a question on the onetime cost for the tender offer. So we booked quite a bit of cost last year of €12 million, but we basically didn't pay for it. So that will have effect on cash flow. And that will -- obviously, the additional costs maybe a little less, but still significant cost in this year that will also be paid this year. So a smaller effect on P&L, but a significant effect on cash flow.
Operator: [Operator Instructions]. We have a next question by Jurgen Wagner.
Jurgen Wagner: Yes, you mentioned in a previous statement that -- yes, you basically expect the industry to be short end of this year. And how do your large customers react when you today ask them about taking additional volumes if you think about greenfields?
Christoph von Plotho: Well, I think our thoughts about greenfield did not change. We are convinced that the industry will need greenfield. We are convinced that Siltronic will need greenfield. We are talking to customers about this. We are analyzing the situation, but there is no decision taken for greenfield.
Jurgen Wagner: And your customers, are they willing to enter into additional LTAs to support your greenfield decision as of today?
Christoph von Plotho: Well, 6 months ago, there was an underdeveloped willingness to listen to our thoughts or, let's say, to agree to our thoughts. In the meantime, it's not only listening. They agreed to it. And I would judge if they start thinking about it. But again, the big problem is -- and this is for leading this company or leading a company in the pandemic crisis, you can't meet customers, you can't meet your subsidiaries. You completely miss in negotiations the body language and therefore, it's really challenging. But I have good reasons to be optimistic.
Jurgen Wagner: Okay. So there -- you would agree, there is a bit of a rethink given all the shortage everywhere, a rethink that they're positioning, but not yet willing to sign anything?
Christoph von Plotho: But Jürgen, the sense of urgency at the customer might be completely different. I won't name them, but they are customers in the market, they are not worried at all. And I'm sorry, I don't understand it. And there are other customers, which are maybe worried is a little bit exaggerated, but they are starting to get nervous. And it's my assumption, the outlook that I gave today that it might be for towards year-end, early next year. Even if we have a greenfield decision by tomorrow, which I doubt, then it takes another 3 years to bring the first wafers out.  And therefore, since 2018 when there was a significant slowdown in demand and the customers behaved like if a shortage would never come back, we were always telling them that the next shortage will be more significant than the last one because we cannot create additional output based on brownfield. We, Siltronic, and, we, the wafer market, we have to invest in greenfield and greenfield simply takes longer.
Operator: The next question is from Constantin Hesse.
Constantin Hesse: Just really very -- just a very, very quick one. You say that in the CapEx, it's partly going to be driven by the expansion of crystal-pulling halls to replace older equipment. So I'm just speaking to myself, are these new machines bigger? Or are you just taking some measures should you need to increase your capacity a little bit towards the end of the year to have some -- more space left? Or is it just really because this new equipment is just larger and it just requires more space?
Christoph von Plotho: Well, you're perfectly right. This equipment is significantly larger. It's a small place, and therefore, does not fit in the, let's say, the building, all building, which is not tall enough. This will not increase the overall capacity in 300-millimeter, but it will increase the share of ingots that we grow on dedicated 300-millimeter equipment.
Operator: [Operator Instructions]. The next question by Amit Harchandani.
Amit Harchandani: Amit Harchandani from Citi. Two questions, if I may. My first question is with regards to the inventory and the lead time in the wafer industry as well as to the extent you have visibility into your customer base. I think you've talked about inventory levels of memory chips still on a somewhat elevated level. I was wondering if you could give us a sense for where your lead times more broadly are today for epitaxial as well as polished 300-millimeter wafers relative to, say, a typical average. And in terms of the inventory dynamics, while they are still somewhat elevated, what's the trend that you have seen, say, for example, quarter-to-date? And what is the tone of your latest conversations with your memory customers? And I have a second question after that.
Christoph von Plotho: Well, let's look, first of all, in the inventory level, Amit, that we see at our customers, like we said in the past, there are 2 customers where we see the inventory level is, from my perspective, was okay, is okay. And also on the outlook level, I think it's stable, flattish at the okay level. And the other one is still a little bit higher. The comments that I made regarding DRAM on one side and NAND on the other side is much more related to a report, which was issued by UBS, talking about inventory at the Korean players and also inventory further down the value chain. And there, DRAM looks okay and NAND looks challenging.
Amit Harchandani: Okay. Okay. And any comment on lead times, please, relative to history?
Christoph von Plotho: Lead times for what?
Amit Harchandani: For your products? For your wafers that you're shipping today to your customers, are they continuing to go out and expand further?
Christoph von Plotho: Well, the lead time is the same as always. If we grow the crystal, it probably takes a week. And then we need some additional days for wafering. So between getting the orders, scheduling the production and shipping the wafers out, something like 2 weeks. But it always depends on the quantity and it depends also on the quality that people order. And it's not true for every product. 300-millimeter epi, like we said, we are close to sold out, and I think that's also true for the market. So if somebody shows up today and asks for 15,000 additional epi wafers 300-millimeter per month, I think nobody can supply that.
Amit Harchandani: Noted. Noted. And secondly, if I may, with regards to your cost base, please. Could you give us a sense for what kind of inflation pressures are you seeing in terms of your cost inputs, for example, polysilicon, any other sort of chemicals that you may be using? And to what extent can you pass that on to your customer, logistic costs? And you've talked about cost reduction being strong in 2021. Could you give us a sense for what's driving this cost reduction? And what's the magnitude of this cost reduction? So just trying to understand the puts and takes in terms of your own supply base and your own cost base, please?
Christoph von Plotho: Well, Amit, that's a very good question, but please understand that we do not go too much into details. So last year, we had excellent cost performance, specifically driven by variable costs going down, and this was very much driven by productivity. We had a very, very ambitious target setting for increased manpower productivity. And although people in operations were, at the beginning of the year, a little bit reluctant to believe that this is a fair target, in most areas, we overachieved the target, and we had a cost savings performance in 2020, which was the best in the last 5 years, I would say. And then it's not -- there are the effects that we had. You talk on poly prices. Poly prices is something where we have, let's call it that way, we have limited influence because you always need to negotiate with your supplier, but there are things where we have 100% control, and this is yield. And I think it's much more effective to work on the things that you can influence to 100%, and that's in the case of polysilicon, it is yield. And in the case of, let's say, the other products that we need, it's huge and it's also recycling. We have -- every year, we have additional recycling projects in order to increase the level of recycling and these are the major contributors. So we will continue to work on that. I'm pretty sure that we will, again, have a good year in cost savings. On the other hand, it will be very, very difficult to repeat the significant figure that we delivered in 2020. But it will be still a very good contribution.
Operator: There are no further questions. And so I hand back to Petra Muller.
Petra Muller: Thank you, operator. With this, we conclude our today's session, and thank you for joining us today. We will hope you will be joining us again on our Q1 release in May. And for today, we say goodbye and stay safe and healthy.
Operator: Ladies and gentlemen, thank you for your attendance. This call has been concluded. You may disconnect it.